Operator: Good morning, everyone, and welcome to the Volaris Third Quarter 2017 Financial Results Conference Call. All lines are in a listen-only mode. Following the company's prepared remarks, we will open the call for questions and answers. Instructions on how to ask a question will be provided at that time. Please not that this event is being recorded. At this point, I would now like to turn the call over to Mr. Andrés Pliego, Volaris' Financial Planning & Investor Relations Director. Please go ahead, sir.
Andrés Pliego: Good morning, everyone, and thank you for joining the call. With me today, we have Enrique Beltranena, CEO; Fernando Suárez, CFO; and Holger Blankenstein, CCO. They will be discussing the company's third quarter 2017 results announced today. Afterwards, we will move on to your questions. Please note that this call is for Investors and Analysts only. Any questions from the media will be taken on an individual basis. Before we begin, please let me remind everyone that some of the statements we will make on this call would constitute forward-looking statements within the meaning of applicable securities laws. Forward-looking statements are subject to several factors that could cause the company's actual results to differ materially from expectations for reasons described in the company's filings with the U.S. Securities and Exchange Commission. Furthermore, Volaris undertakes no obligation to publicly update or revise any forward-looking statements. It is now my pleasure to turn the call over to our CEO, Mr. Enrique Beltranena.
Enrique Beltranena: Thank you, Andrés, and good morning to everybody. Thank you very much for being with us today. Before we start, we want to extend our solidarity to the victims of the natural disasters resulting from the earthquakes in Mexico and the hurricanes in the region. Our thoughts and prayers in Volaris are with them. During the third quarter, demand and traffic patterns, despite a competitive fare environment, had been sequentially improving. But in September, natural disasters in Mexico and in the region temporarily interrupted such recovery. We continued to drive non-ticket revenue growth, managed capacity prudently and reinforced our cost control discipline, reversing the negative cost increase trend. These actions positions Volaris with a defendable and resilient business model in the current environment. Volaris posted a 33% adjusted EBITDA margin, in line with our stated guidance. 10% operating margin and 11% net margin. This reflects a sequential improvement in profitability versus the two previous quarters. Moving on to market environment, during the quarter, we experienced mixed conditions in the domestic and international markets. Network load factor remains strong at 86.2% for the third quarter and 85% for the first nine months of the year. The number of passengers has increased 5.2% and 10.5% for the quarter, and for the first nine months respectively. Specifically for the month of September, we were the largest Mexican domestic carrier in the terms of booked passengers. Our non-ticket revenues continue to perform strongly, reaching Ps.434 per passenger in the quarter, an increase of 13% year-over-year. Year-to-date, ancillary revenues account for 27% of our total operating revenues. Let me repeat, they account for 27% of our total operating revenues. The first checked bag for international flights continues to drive non-ticket revenue growth with an uptake of more than 50%. We also improved our digital conversion and changes in the sales flows and the new combos. Other important initiatives helped increase our commission-based revenues from travel related products such as the new hotel selection step in the purchasing process, the cruise packages and the car rentals. In the domestic market, we saw last minute promotional activities with [best consuming] [ph] high fees, making it hard to [yield much] [ph] at the very end of the curve of the bottom [ph]. Furthermore, during the summer at the Mexico City Airport, we were assigned fewer slots than in the previous years, but our allocation for the end of the year looks very positive. During September, we also experienced two earthquakes that impacted 11 states in Mexico, particularly the second one affecting Mexico City. Volaris has only 30% of its capacity in Mexico City, reflecting a much more diversified network versus our hub-and-spoke competitors. And as a result, we were less impacted. In international market, we continued managing capacity, our core visiting friends and relatives' routes performed better than the leisure destinations. Unfortunately, during the quarter, we also experienced hurricanes in the region. Accordingly, we remained cautiously manage capacity, decreasing our international ASMs by 3% quarter-over-quarter and an increase of only 12% year-over-year, continually improving our U.S. dollar denominated market, which is our natural hedge against devaluation. And before switching front, we continue to make further inroads by proactively executing our marketing efforts and promoting untied [ph] bus fares within the bus switching program. With respect to costs, the third quarter was about returning to cost control discipline. We reversed the trend of five quarters of cost grip and pressure. In terms of unit cost, we reduced our CASM and CASM excluding fuel year-over-year by 5% and 6% respectively with a lot of actions pressuring the cost down. Our unit cost structure of US$0.049 excluding fuel equivalent, places the company as one of the best five lowest unit cost operators in the world. We face some fuel headwinds, particularly in jet-fuel refining cost. Our economic fuel price per gallon posted a year-over-year increase of 13%, which was partially offset by our fuel-hedging program. From the fleet perspective, in line with our capacity management efforts, we only took delivery of one aircraft in the first nine months of the year. In addition, we redelivered two aircrafts in the same period ending September with a total amount of aircrafts of 67 units. On the Central American operations front, we can share with you that we obtained U.S. DoD approval to be able to operate direct from our Central American destinations to the U.S. And we finalized the certification process at the FAA, we improved our Central American itinerary and added Tijuana Cross Border Xpress to San Diego passenger [ph] destination. Effective November 18, the itineraries have been published and sales, for example, from Guatemala look very solid. This provides a functional connectivity from Central America to Southern California at a low-cost. Before passing it on to Fernando, let me summarize by giving you some color for the fourth quarter, given the uncertainty that we live with at the end of this quarter. We continue to see a solid sequential improvement in the international market, with better base fare levels, improvement in ticket revenues and capacity control. In the domestic market, we see a very resilient volume traffic, but still with a challenging base fare environment that we are addressing with cautious capacity management and reducing our unit cost. Our current outlook for the fourth quarter is one of the more normalized environment. And as a result, we see sales in line with our expectations and we will continue to manage capacity cautiously and pricing it accordingly. The booking purse for November and December are in line with our expectations. We now expect full year 2017 ASM growth of 13% to 14%, given the fact that during the first nine months we have to reduce our ASMs to lower utilization, where delivery of aircraft and no new aircraft arrivals in the first half of the year. A 13% to 14% growth in an environment where economy grows 2% to 3% is an amazing number in terms of growth for any airline in the world. Now, I will hand it over to Fernando to elaborate on our financial performance for the quarter.
Fernando Suárez: Thank you very much, Enrique. I'll be reviewing our results for the figures filed with the SEC and BMV this morning. Total operating revenues were Ps.6.6 billion for the third quarter, a decrease of 2.2% year-over-year, notwithstanding the negative impact of the natural disasters and a soft fare environment during the quarter. Non-ticket revenues were Ps.1.8 billion for the third quarter, an increase of 18.6% year-over-year. Non-ticket revenues per passenger were Ps.434 for the third quarter, increasing 12.8% year-over-year. TRASM had a sequential improvement of 6.8% quarter-over-quarter, reaching Ps.1.38 for the third quarter, and a decrease of 11.2% year-over-year. U.S. dollar denominated collection was 39%, partially helping to insulate the company from exchange rate pressures and reflecting the company's effort to further diversify its network. Moving onto costs, CASM decreased 5.0% year-over-year to Ps.1.24 for the third quarter, with an average exchange rate of Ps.17.82, a year-over-year decrease of 4.8%, and despite an average economic fuel cost per gallon of Ps.31.8, increasing 3% year-over-year. CASM ex fuel decreased 6.2% year-over-year to Ps.0.89 for the third quarter. The total average economic fuel cost per gallon for the third quarter was $1.75, which includes the recognition of call option premiums of $0.01 per gallon offset by a net economic benefit of Ps.2.6 million from our call options exercised in the period. During the third quarter, we incorporated one additional A320NEO, the second of this engine technology in our fleet. The two A320NEOs, we had in the fleet operated reliable approximately 13-hours per day during the summer. We finished the quarter with a fleet of 67 aircraft composed of 12 A319s, 45 A320s, and 10 A321s with an average age of 4.5 - 4.6 years the youngest fleet among Mexican airlines. At the end of the third quarter, Volaris' fleet had an average of 180 seats per aircraft and 63% of the seats were in sharklet-equipped aircraft, on track to continue improving fuel burn and efficiency in our fleet. Our fuel risk management program paid off in the quarter with jet fuel of US$1.75 from late August, also late September, and considering an average strike price of our agent call options and $1.44 per gallon for the third quarter. Looking to the fourth quarter, we have an existing call options to hedge approximately 57% of the expected jet fuel consumption at an average price of $1.40 per gallon, and are currently in the money on such position. We also have hedged approximately 45% of 2018 at an average price of $1.74 per gallon. Adjusted EBITDAR in the third quarter was Ps.2.2 billion, in line with our stated guidance adjusted EBITDAR margin was equal to 33%. Operating income was Ps.634 million for the quarter, representing 10% operating margin. The FX depreciation at the end of the third quarter led us to a net gain of Ps.125 million below the operating line. Net income for the quarter was Ps.731 million, with a net margin of 11%. The gain per Series A share was Ps.0.72 and $0.40 per ADS. Our balance sheet remains strong, liquid and intentionally very tolerant [ph]. Our financing profile is also comfortable and our leverage is conservative. As of September 30, Volaris had Ps.5.4 billion in unrestricted cash representing 22% of the last 12 months operating revenues. We maintain negative net debt for a net cash position of Ps.3.0 billion. Cash flows from operating activities before changes in working capital for the quarter was positive Ps.978 million, slight changes in working capital resulted in a net cash flow used in operating activities of Ps.385 million reflecting the seasonality of our operation. In conjunction with cash flow used in investing activities of Ps.565 million and net cash flow provided by financing activity of Ps.268 million as well as a positive net foreign exchange effect of Ps.73 million from our high mix of unrestricted cash in U.S. dollars. Total net cash decreased by Ps.608 million. Moving onto fourth quarter guidance. We expect to grow ASMs by a range of 9% to 10%. As we take delivery of three new aircraft late in the quarter. Domestic and international ASMs growth will be around 8% and 10% year-over-year respectively. Regarding profitability guidance, we expect to achieve an adjusted EBITDA margin in the mid to high 20s for the fourth quarter, assuming current spot exchange rate and jet fuel prices. Our aircraft and engine rental expense for the fourth quarter is expected to be in the order of $83 million. Reinforcing our cost control discipline, we foresee a year-on-year CASM ex fuel reduction in the fourth quarter, assuming no major changes currency here. In addition, to our embedded unit cost dilution coming from fleet engage [ph] various cost savings initiatives are underway, including an organizational effectiveness exercise conducted in October. Now, I'll pass it over to Enrique for closing remarks.
Enrique Beltranena: Thank you, Fernando. And congratulations for the reductions on the unit costs. We continue working on the - doing a lot of airports reducing our costs, finding new ways to increase the non-ticket revenue, which you saw that incremental substantially. Getting people to switch to us from buses and managing capacity in an amazing and very disciplined way. On the financial side, we continue working to maximize the return on investments capital by maintaining also a balance sheet with a very, very well protected U.S. dollar position. We are absolutely estimated [ph] about the fourth quarter and beyond, in which we expect much more normalized environment and especially because our ultra low cost carrier model, in which we continue to improve the execution is performing better and better every day. Thank you very much to all of you. Thanks for your patience during these difficult times. We keep on working for you. And we keep on working to produce the best that we can produce. And thanks to all the partners in Volaris for their airports and what they have been doing. Operator, we are ready to open the call for questions.
Operator: Thank you, sir. At this time, we'll open the floor for questions. [Operator Instructions] Our first question comes from Duane Pfennigwerth from Evercore.
Duane Pfennigwerth: Hey, thanks guys, good morning. Just wondering, as we look at the industry capacity backdrop in Mexico, it feels like it's starting to adjust to a more difficult backdrop. Do you agree, and more importantly, is there anything you see in your advanced book yields to suggest that maybe pricing is starting to react to a far more slow capacity growth rate?
Enrique Beltranena: Duane, as we discussed it in Boston [ph], we absolutely agree with your view. We just need to careful. Remember that in Mexico, you can add capacity in a much more flexible way than the way you do it in the U.S., because the industry has no limitations with pilots for assigning planes lately. So we see airports, I mean, sometimes - I mean, we are saying that the numbers are looking okay. And then, suddenly we see numbers go up and then I think this was as an example that we saw one of our competitors adding capacity from here to end of the year and the beginning of next year, okay? But in general terms, we absolutely see a trend of entire industry to manage the capacity in a very cautious way.
Duane Pfennigwerth: Great. And then, I wonder maybe Holger, could you quantify the impact of the international bag fee in the ancillary line so far. And can you maybe speak to the potential for adding that in the domestic market also?
Holger Blankenstein: Yeah, Duane, so for the - first, bag fee in the U.S. have definitely contributed to the increase in ancillary revenue. And currently we see an uptake of around 60%, high 60% of our international passengers that buy the first bag. And then we're charging around US$20 depending on when you actually buy the first bag within the booking process or at the airport, [its price necessarily] [ph]. We also are very bullish on further growing ancillary revenue in the domestic area as the new aviation law permits us to offer a preferential fare. For those customers that do not want to travel with a bag, they can eliminate when we can further unbundle our fares to low offer lower fares to those customers that don't want to take a checked bag. And if they later decide to add the checked bag at the airport, we can charge for that bag [ph]. So we're very optimistic in further growing ancillary revenue, especially driven by the first bag fee of international and domestic.
Enrique Beltranena: I think very important, adding to Holger. It's an environment where we see a duration of base fare yield. It is of absolute importance that we keep on working, increasing our ancillary revenues. And the more we work on this, the better we will be. The second thing is [consisting broadband] [ph] in this, within this line is the fact that Volaris [indiscernible] to be the first airline in Mexico that will be offering a domestic product with a lower fare and the check, and no checking bus. We are launching that effective November 1.
Duane Pfennigwerth: Okay. Thank you very much.
Operator: Thank you.
Enrique Beltranena: Thank you, Duane, great.
Operator: Thank you. Our next question comes from Pedro Balcão from Santander.
Pedro Balcão-Reis: Yeah, good morning, everybody. Thanks for the call. Congratulations on the cost performance, really well done. But what I wanted you guys to give us some more color was on the yields, why are they falling so much and why are they falling apparently more than the other players. Is there a component of the stronger business year affecting negatively the yield also? That is my question. Thank you.
Enrique Beltranena: Good. Thank you, Pedro. I will ask Holger to tackle that one please.
Holger Blankenstein: Pedro, good morning. So in the pricing environment we are seeing two different stories. Domestically, we continue to see quite aggressive pricing activity from many players in the market, actually from all players in the market, especially in the larger airports of Mexico City, Guadalajara and Tijuana. However, in terms of volumes demand remains quite strong. So the yield decline has been made up partially by very healthy load factors. And please remember also that we are coming off a very, very strong third quarter at 2016, so the comparable base is a quite challenging comparison. Internationally, the story is a little bit different. The base fares remain relatively solid without the kind of competitive pressures we're seeing in the domestic market, in the Mexico domestic market, especially in our niche DFR markets as we operate [intra] [ph] to the U.S. But despite the positive situation in the international market, the demand remains softer than in domestic market. As we continue to see uncertainty of travel to and from the U.S. that we're experiencing as you can see in our load factors. So it is important to remember that's we are load factor access company and our all our actions have been focused to keep the solid network load factor overall 85% and as you can see in the third quarter, we achieved a load factor of 86%. So we tend towards on higher volumes and lower yields, if possible.
Pedro Balcão-Reis: Thank you. Can you give us some color on the yields for the fourth quarter, I know, it's early on, but some color?
Fernando Suárez: So as Enrique mentioned, the fourth quarter obviously is typically, seasonally positive. We have a strong pricing [ph] there that we built in. However, the pricing environment for the fourth quarter continues to be challenging especially in the domestic market. And again, please bear in mind that the year-on-year comparison, in a difficult comparison as last year's fourth quarter was an outstanding quarter in terms of volume and yield.
Pedro Balcão-Reis: Thank you.
Fernando Suárez: Seasonally, fourth quarter is typically relatively strong, and as Enrique mentioned, the booking curves are quite solid, as we launch in November and December high season.
Enrique Beltranena: As I mentioned also we did get a good allocation of slots at the [airport here in] [ph] Mexico, which is giving all the opportunity to operate at least of the levels of last year, which is really positive. Thank you very much Pedro. Michael, would you like to make a question.
Unidentified Analyst: Sorry about that. I didn't hear my name, but good morning, everybody. I guess, two questions. I just want to go back, so it sounds like with respect to Mexico domestic. I want to make sure, I've heard you, right, that you –essentially can have a first bag fee, right. I mean, I guess, if you're travelling and you're not flying with the bag, you end up getting a discount. Is that - did I hear that correctly, that that's going to be allowed now within Mexico domestic?
Enrique Beltranena: Michael, so what we're going to do is also a preferential fare for people that don't want to trouble with the bag. And intrusively, we're going to be able to charge for the first bag for those customers that besides to take the first bag even though they deselected and select for the preferential fare - the lower preferential fare.
Unidentified Analyst: Great. And that's effect in November 1?
Enrique Beltranena: That's effect in November 1, correct.
Unidentified Analyst: Okay, great. And then just my second question. Enrique, you talked about getting the approval for the Central American operation. And you had mentioned some markets - and I just, I don't know, if I heard you. I think, you had mentioned Guatemala to Los Angeles, or maybe it was by the way of Costa Rica. What are - what was one of the markets that you're planning to fly or - what [indiscernible]?
Enrique Beltranena: So it's two steps to this equation, okay. The first part of the equation is to start certifying the airline at FAA level, because once you have the DoD approval, but you have a - there is a concession to fly between the region and the U.S., okay. Now the DOT approval, NTSB approval, and Homeland Security approval of processes, okay, which is going to take us some three, four months from now, okay. In the meantime, what we are that - what we are doing is, we reschedule the entire fleet there, take on the two aircrafts. And we are having more frequencies within Central America. And we are - we did put some flights from Guatemala and from San Salvador to Tijuana using the Cross Border Xpress to get to the U.S. in the much more easier way. The bookings, Guatemala to - and we just launch that this week, okay. The bookings from Guatemala to Tijuana CBX San Diego are looking very well with 50% load factor after four days of sale.
Unidentified Analyst: Well, that's a smart move. And you said also from San Salvador to Tijuana as well?
Enrique Beltranena: Exactly. The same thing from San Salvador to Tijuana, and these routes are effective November 19.
Unidentified Analyst: Are they - are these several times a week like two to four times weekly.
Enrique Beltranena: Four times a week.
Unidentified Analyst: Great. Oh, well. Okay. Well, moving quickly. Thanks. I appreciate the detail.
Enrique Beltranena: So Mike, I think, this is really important. I mean, what you are seeing here is, is everything that we've been proposing during the year. Here baggage fees, better baggage fees, first international, in our domestic equation of doing it. And now we were seeing Costa Rica performing to the U.S. and starting to perform to the U.S.
Unidentified Analyst: Very good. Great. Well, Thanks, Enrique. I appreciate the detail.
Enrique Beltranena: Thank you very much, Michael.
Operator: Thank you. Our next question will come from Helane Becker from Cowen and Company.
Helane Becker: Thanks, operator. Hi, everybody. Thank you for the time. So my first question is…
Enrique Beltranena: Hi, Helane.
Helane Becker: Hi. So my first question is, I think, I'm not sure if Enrique said this or who said this, but you talked about your booking - the booking curve for November, December being in line with expectations. And I'm just kind of wondering is that, are those expectations pre or post earthquakes? So in other words…
Enrique Beltranena: Our systems are clearly - I mean, we hand the plan for the full-year and the plan is coming alone in the third quarter at the level we were expecting it, so it's after the earthquake. We think, Helane, that the earthquake factor of whatever, the wave was after the earthquakes and obviously also the hurricanes, we need to understand that Volaris flies to Texas, Volaris flies to Florida, Volaris flies to Puerto Rico. I mean, you need to understand that we are not only affected by the earthquakes, but also by the hurricanes. And as a result of that, we think that the whole wave of after chased of all these events this is - has been affecting the second half of September and probably some weeks in the month of October. The bookings from here through the end of the year are in line with our regional budget expectations.
Helane Becker: Okay. That's perfect. That's what I wanted to know. And then, my other question is - what do you need to see in either the Mexican economy or in the fare environment to kind of get back to growing in the mid to high teens?
Enrique Beltranena: Economy growing mid to high teens?
Helane Becker: No, no. So you use to have a growth rate kind of in the mid to high teens. And where do you need to get back to for air fares to kind of get back to that level?
Enrique Beltranena: Yes, Helane. We are receiving three aircrafts in the last quarter of this year. And those aircrafts are going to be capacity and reality [indiscernible], which is basically addressing the growth in the first semester of next year, okay. And so, we will see us keep on growing. [Indiscernible] and here I feel a little bit frustrated every time I speak about this. This company, this year is growing 13%, okay. And I think in general, the market is not qualifying the amount of growth of the company, and how the company is growing. I think, company grows 13% to 15%, it's an amazing company and an environment for the economy is growing 2% to 3%.
Helane Becker: True. That's a great observation. Thank you. Thanks for the time.
Enrique Beltranena: Thank you very much, Helane. It was great to hear you.
Operator: Thank you. Our next question comes from Stephen Trent of Citi.
Stephen Trent: Thank you very much, gentlemen, and for taking my question and good morning, everybody. Just I wanted…
Enrique Beltranena: Good morning, Steve. I'm glad we have you today here, okay? We missed you.
Stephen Trent: Thank you. Thanks, Enrique. I was travelling last time. And so I'm sorry I missed as well. And I appreciate the time. Just a couple of quick ones for me, first off is, if I could trouble you to clarify, I wasn't sure you mentioned something about receiving FAA approval for the Central America flights, but you still need NTSB and Department of Homeland Security to approve some specific routes, but I didn't hear exactly what you said, if I could trouble you to repeat that.
Enrique Beltranena: What is said is, once you get approval to flying to the U.S., which is something, which is responsibility of the department of transportation. Then you have to go to the FAA and certify to for an FAR 129 that's the name of the certification that you need to get, okay? And we are well in progress on that. We have been progressing before the process. And that obviously, the official part on the process, official in [our business] [ph] now in the process and it's going to take us two, three, four months probably. Okay. Then after that, you need to go and do the certification on security for stations. And that happens under the Homeland Security with the TSA. And obviously, you need to do the TSV [ph] process which is part of the safety process to fly into the U.S., okay? So those three things are happening as we speak. It's important to say that it's something we have done several times in this company, so we're used to do it. And it's just the timing that we need to pass and then compete with everything that the authorities are enquiring. It's a normal thing. And then the next step obviously is to start flying to the U.S. and we will do that eventually once we have the approvals. But in the meantime, we insist we are using Tijuana with Cross Border Xpress to Santiago and Southern California market, which is an amazing way of starting to hit the market.
Stephen Trent: Okay, that's definitely - now I get what you're saying, I appreciate that Enrique. And just two other very quick ones from me, one, I think you then [ph] said for 4Q you're looking for an EBITDA margin, adjusted EBITDA plus are in the high 20s if I - I wasn't sure I heard that correctly.
Enrique Beltranena: Right, that's correct. That's correct.
Stephen Trent: Got it.
Enrique Beltranena: Just adding to the previous question, I mean, I just want to remind you that, when you get to the functionality Tijuana CBX in Tijuana, you, A, giving me the Mexican visa, you only need U.S. visa. And second, you basically go through the flow to the U.S., you will need to make immigration and customs in Mexico.
Stephen Trent: Got it, very helpful. And my final question, and I apologize, the last question, I'll let someone else ask a question. In the quarter itself, when we think about the working capital cycle, was there anything related to that or associated with the Central America ramp-up behind what's into the a slightly slow working capital cycle?
Fernando Suárez: Steve, no, nothing out of the ordinary in working capital cycle in the third quarter, the changes in working capital. The main activity there is the unearned transportation revenue as we get out of the high season and into low season, but nothing extraordinary regarding Central America.
Stephen Trent: Thanks, Fernando. I'll let someone else ask a question. I appreciate that guys.
Fernando Suárez: Steve, we're trying to hear you and you will keep on hearing our calls.
Operator: Thank you. Our next question comes from Josh Milberg of Morgan Stanley.
Joshua Milberg: Hey, everyone, and…
Enrique Beltranena: Josh, how are you…
Joshua Milberg: Very well, Enrique, thank you so much. Thank you for the question. I was actually just hoping you guys could give a little bit more color on your cost performance in the period and specifically on the big maintenance expense decline that we saw. Just wondering how much of that or how much of any of that is due to a slower pace of aircraft returns and maybe some lower redelivery costs?
Fernando Suárez: Yes, Josh, in the third quarter we had various cost initiatives that are starting to kick in. On one side, we are getting the benefit of the up-gauge, which naturally gives us a unit cost reduction as we redeliver A319s and take delivery of A320neos and A321, so that's a natural process that we're seeing cost - unit cost aggression. But in other cost initiatives and savings initiatives, we continue to work on. We have done a good performance in terms of maintenance cost optimization and redelivery cost where we have been fine-tuning that and managing the processes better. So that - all of that helps in getting the unit cost up. We do get some help from FX obviously, with a less volatile exchange rate in the third quarter. But in general, it's the sum of all of those cost initiatives that are kicking in and what we are accelerating also for our fourth quarter and to tighten up further cost discipline in the company.
Joshua Milberg: Okay. That's very helpful. And then, my other one was just so if you guys could touch a little bit on the sort of 2018 capacity growth outlook. I don't know where you are and if you're already kind of firmed up in terms of having a view on what you're thinking, not just overall, but thinking Central America, Mexico domestic, international?
Fernando Suárez: Correct. It's still a working process. We're developing the operating slab for 2018. But you should be thinking of a low- to mid-teens seat growth. That's what we have, taking into consideration the redeliveries that we have next year and the arrival of new aircrafts. As mentioned, we have three aircrafts incorporating at the end of the year. But that's primarily - it's going to be capacity for 2018. We will be able to schedule part of that in December, but it's primarily capacity in the - but it's - really in the first half of next year. We also have important maintenance work, heavy checks and so far, so available aircrafts for the fleets will be somewhat - if we take everything in conjunction it should be a seat growth in or around low- to mid-teens of just what we posted this year.
Joshua Milberg: Okay, very helpful. Again, thanks so much.
Operator: Thank you. At this time, I am showing no further questions.
Enrique Beltranena: So thank you very much to everybody. Ladies and gentlemen, I think Volaris has very good performance despite the difficulties of the quarter. And I think the sequential improvement continues. Stick to us. And thank you very much for [indiscernible]
Operator: Thank you, ladies and gentlemen. This concludes today's teleconference. You may now disconnect.